Operator: My name is Roxanna, and I'll be your conference facilitator this morning. At this time I'd like to welcome everyone to Danaher Corp.'s Fourth Quarter 2016 Earnings Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. I'll now turn the call over to Mr. Matt Gugino, Vice President of Investor Relations. Mr. Gugino, you may now begin the conference.
Matthew E. Gugino - Danaher Corp.: Thank you, Roxanna. Good morning, everyone, and thanks for joining us on the call. With us today are Tom Joyce, our President and Chief Executive Officer; and Dan Comas, our Executive Vice President and Chief Financial Officer. I'd like to point out that our earnings release, the slide presentation supplementing today's call, and the reconciliations and other information required by SEC Regulation G relating to any non-GAAP financial measures provided during the call are all available on the Investor section of our website, www.danaher.com, under the heading Financial Reports and Earnings. The audio portion of this call will be archived on the Investor section of our website later today, under the heading Events and Presentations, and will remain archived until our next quarterly call. A replay of this call will also be available until February 7, 2017. During the presentation we will describe certain of the more significant factors that impacted year-over-year performance. Please refer to the supplemental materials and our annual report on Form 10-K, when it is filed, for additional factors that impacted year-over-year performance. Unless otherwise noted, all references in these remarks and supplemental materials to company-specific financial metrics relate to the continuing operations of the company and the fourth quarter of 2016. And all references to period-to-period increases or decreases in financial metrics are year over year. We may also describe certain products and devices, which have applications submitted and pending for certain regulatory approval. During the call we will make forward-looking statements within the meaning of the Federal Securities Laws, including statements regarding events or developments that we believe or anticipate will or may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties, including those set forth in our SEC filings. And actual results might differ materially from any forward-looking statement that we make today. These forward-looking statements speak only as of the date that they are made, and we do not assume any obligation to update any forward-looking statements. With that I'd like to turn the call over to Tom.
Thomas Patrick Joyce - Danaher Corp.: Thanks, Matt, and good morning, everyone. 2016 was an exciting year for Danaher. And we finished on a strong note with our fourth quarter results. We were very pleased with how the team executed throughout the year, delivering solid core revenue growth, significant margin improvement, adjusted EPS growth of more than 20%, and outstanding free cash flow. The Danaher business system continues to be our foundation, our competitive advantage, and a key driver of our performance. You've heard us talk about running the Danaher playbook, meaning that we're consistently driving our businesses to improve gross and operating margins and lower G&A, all while reinvesting more into R&D and sales and marketing. In 2016 alone we improved both growth – gross and core operating margin by more than 100 basis points. At the same time we reduced G&A and meaningfully increased R&D and sales and marketing spend as a percent of sales. For the full year, our differentiated portfolio, investments in organic growth initiatives, and good execution helped drive 3% core revenue growth in a challenging macro environment. With the addition of our recent acquisitions and other portfolio moves, our total annual revenues are now nearly $17 billion. From an M&A perspective in 2016 we closed eight acquisitions across all five platforms for nearly $5 billion, including our two largest deals, Cepheid and Phenomenex. We also completed the spinoff of Fortive, which was an important step towards optimizing our portfolio and strategically positioning Danaher for long-term outperformance. We generated $2.5 billion of free cash flow in 2016. And our free cash flow to net income conversion ratio was greater than 115%, representing the 25th consecutive year in which our free cash flow has exceeded net income. Turning now to the fourth quarter. Sales grew 6% to $4.6 billion with core revenue increasing 3.5%. The impact of currency translation decreased revenues by 1.5%, while acquisitions increased revenues by 4%. Geographically, high growth markets revenue was up high single-digits. China and India continued to lead the way, while Latin America, the Middle East, and Russia all returned to growth in part due to easier comparisons. Developed market core revenues were up low single-digits, led by growth in the U.S. and Western Europe. Gross margin for the fourth quarter was 54.5%, an increase of 230 basis points from last year. And core operating margins were up 170 basis points. These strong margin results are a testament to our team's focused execution and helped to drive double-digit adjusted net earnings growth in the fourth quarter. Fourth quarter adjusted diluted net EPS was $1.05, which represents an increase of 15% over last year. For the full year, adjusted diluted net EPS was $3.61, up over 20% from 2015. Now let's take a more detailed look at results across the portfolio. In Life Sciences, reported revenue was up 6% and core revenue grew 4%. Reported operating profit margin increased to 16.8%. And core operating margin increased 345 basis points. This increase was driven by great execution using DBS, particularly at Pall, where the team drove a number of meaningful operational improvements. Beckman Life Sciences core revenue grew low single digits in the quarter, led by our Flow Cytometry and Particle Counting businesses. A strong finish to the year in China was capped off by another quarter of double-digit growth in the region, while weakness persisted in Latin America. Growth in North America was driven by demand for CytoFLEX, which continued to be a meaningful contributor to share gains in our Flow Cytometry business. At Leica Microsystems, we saw incremental improvements in the quarter with core revenue up low single digits. This was largely driven by North America and China, offset by declines in Japan. SCIEX increased core revenue at a mid-single-digit rate, led by growth in China and Western Europe. SCIEX's service offering had another quarter of double-digit growth. And we saw continued strength in the food, environmental and pharmaceutical end markets, particularly within the fast-growing biopharmaceutical space. In 2016 our Life Sciences platform delivered a significant number of new products to our biopharma customers in order to improve their bio production processes. One example is at SCIEX, where we just launched the X500B, the latest model in our X-Series mass spectrometry platform. You may remember that the first model in the series, the X500R, was designed for routine food, environmental, and forensic testing labs. Now we've added the X500B, which is specifically designed for complex biologics characterization. The X500B brings simplicity and high performance to one of the most compact mass spec footprints in the market. Its ease of use makes it accessible to even novice mass spec users and helps customers get better answers faster in their bio processing work flows. During the fourth quarter we successfully closed the acquisition of Phenomenex, a leading player in chromatography consumables that operates in an attractive industry adjacent to where SCIEX participates. Phenomenex is off to a great start, and we're excited to have the team on board. Over at Pall, mid-single-digit core revenue growth was driven by Pall Life Sciences, where we saw continued demand across our Biopharmaceuticals business with particular strength in single-use technologies. Pall Industrial delivered positive results for the first time since the acquisition, with low-single-digit core revenue growth supported by strong execution in microelectronics and aerospace. This growth was offset by declines in our Process Technologies business. 2016 was a great year for Pall. And the team improved execution both operationally and commercially using the Danaher Business System. Pall delivered more than 400 basis points of operating margin expansion, improved on time delivery by over 1,500 basis points, and significantly increased their market visibility. By applying DBS principles to Pall's R&D initiatives, the team has been able to combine Pall's innovation prowess with greater executional focus to launch a number of new technologies ahead of schedule. In total Pall launched 35 new products this year, a 50% increase over last year. And the team was able to get these new products to market 25% faster. Moving now to Diagnostics. Reported revenue increased 11% and core revenue increased 3%. Core operating margins grew by 80 basis points. And reported operating margins declined to 12.6%, predominantly due to the acquisition related charges from the Cepheid transaction. For the full year Diagnostics core operating margins were up 200 basis points. Core revenue at Beckman Coulter was up low single digits in the quarter, led by our immunoassay solutions. Growth across all major geographies was led by demand in high growth markets, including double digit gains in the Middle East and China. We saw better performance in North America. And importantly the team continues to drive improvement in customer retention and win rates. Radiometer achieved high single digit core revenue growth in the quarter. We saw positive performance in all major regions, with high-growth markets led by double digit growth in Latin America and China. Both our blood gas and AQT lines performed well. And we believed Radiometer continued to gain share in 2016. At Leica Biosystems core revenue declined at low single digits with growth in Western Europe and China offset by softness in North America and the Middle East. Advanced Staining Consumables achieved double-digit growth, while we saw weakness in our core Histology and Pathology imaging product lines. In November we successfully closed the acquisition of Cepheid, a leading innovator in the fast-growing area of molecular diagnostics. Cepheid is off to a good start, delivering double digit revenue growth in the quarter. And we continue to see tremendous opportunity to deliver better top and bottom line performance over time through the application of DBS. Turning to our Dental segment. Reported and core revenues increased 50 basis points and reported operating margins decreased slightly to 15.4%. While we had solid growth across our specialty product line, including Orthodontics and Implants, this was mostly offset by continued market weakness in our traditional Dental Consumables and Equipment businesses. We anticipate that these more challenging market conditions will persist into the early part of 2017. We've mentioned before that we're approaching the entire Dental platform as a new acquisition. And despite the recent market weakness, we're encouraged by the early results. In 2016 the team improved core revenue growth, added over 75 basis points of gross margin, and increased core operating margins by 90 basis points. We also lowered our G&A costs by 50 basis points, which was helped in part by a 30% reduction of our manufacturing and back office footprint. By improving the cost structure we facilitated greater investment back into the business to drive growth. We increased R&D spend by approximately 10% to reinvigorate new product development. And our investments and go-to-market initiatives are up 5% year on year to help improve our commercial execution. So overall, we feel very well positioned with our Dental portfolio and remain focused on enhancing our foundation for long term growth. Moving now to our Environmental & Applied Solutions segment. Reported revenue grew 3.5%, with core revenue up 4%. Good execution by the team generated 210 basis points in core operating margin expansion. And reported operating margin increased to 24%. In Product Identification core revenue increased at a mid-single-digit rate. This growth was led by strong demand for marketing and coding equipment and related consumables across most major geographies. Sales growth of our Packaging and Color Solutions was led by positive momentum in both North and Latin America. Videojet closed out a great year on a strong note, delivering high single digit core revenue growth in the fourth quarter. The business grew across all major product lines and geographies with particular strength in North America, Western Europe, and Latin America. Videojet also achieved another quarter of double digit service growth. And we believe that we continued to gain share relative to the market. With over 15 years of experience applying the Danaher Business System, Videojet continues to utilize DBS to drive improvements across the business. By applying DBS to drive disciplined marketing, R&D, and service growth initiatives, Videojet has achieved mid-single digit core revenue growth or better in each of the last seven years, while meaningfully expanding margins. The Videojet team continues to set a tremendous example of how we can continuously sharpen our competitive advantage with DBS. At Esko core revenue increased at a mid-single digit rate on strength in both North and Latin America. While at X-Rite, core revenue was up low single digits, driven by good performance in Pantone's Color Standards business. Finally, turning to Water Quality. Core revenue growth for the platform increased at a low single digit rate. At Hach, low single digit core revenue growth was supported by modest improvements in municipal and industrial performance in the U.S., partially offset by sluggish project activity in Eastern Europe. We are, however, encouraged by mid-single digit bookings growth in the quarter, as we saw improving order trends in both the U.S. and Western Europe. Earlier in the year, Hach launched the TU5 series turbidity meters, an innovative new technology that dramatically improves water quality testing for customers. A first in the industry, the TU5 series uses the same new detection technology in both online and lab instruments to deliver fast, accurate measurements that consistently match. This is important, as it now provides drinking water professionals with identical online and lab results, giving them superior confidence that they deliver clean, safe drinking water to their communities. This successful launch of the TU5 series has been driven by Hach's highly effective new product commercialization process and is also a great example of how Hach continues to deliver breakthrough innovation to our customers. During the fourth quarter, Trojan increased core revenue at a low single digit rate off a tough prior-year comparison. Trojan had very strong performance in 2016, achieving high single digit core revenue growth for the second consecutive year, helped by continued demand in the municipal disinfection end markets in both the U.S. and Western Europe. And finally at ChemTreat, core revenue grew at a high single digit rate during the quarter, as the team continued to gain share relative to the market. Strength in both North and Latin America benefited from improved conditions in certain industrial end markets, including mining and steel. It's worth noting that in 2016 we marked ChemTreat's 49th consecutive year of growth, a tremendous accomplishment and a testament to the team's commitment to DBS and their best-in-class commercial execution. So to wrap up. We're very pleased with our strong fourth quarter results, capping off a transformative year for Danaher. In 2016 the team delivered double digit earnings growth, meaningful margin expansion, and strong free cash flow. We also executed on a number of strategically significant acquisitions during the year, including Cepheid and Phenomenex. We believe that the strength of our portfolio combined with the power of DBS provides the foundation for enhancing our growth trajectory and delivering long-term outperformance. We're initiating first quarter adjusted diluted net EPS guidance between $0.82 and $0.85. This assumes core revenue growth of approximately 3%, which is modestly impacted by one less selling day year on year in the first quarter. As we announced at our annual investor event in December, we continue to expect full year 2017 core revenue growth of 3% to 4% and adjusted diluted net earnings per share to be in the range of $3.85 to $3.95.
Matthew E. Gugino - Danaher Corp.: Thanks, Tom. That concludes our formal remarks. Roxanna, we're now ready for questions.
Operator: Thank you. We'll take our first question from Scott Davis with Barclays. Please go ahead.
Scott R. Davis - Barclays Capital, Inc.: Hi. Good morning, guys.
Thomas Patrick Joyce - Danaher Corp.: Morning, Scott.
Scott R. Davis - Barclays Capital, Inc.: Dental is kind of a business that seems to come in and out of favor for you guys every couple years and problems here and there and good times, bad times. But I know it's a global business, so it's hard to isolate exactly. But would you always – I mean when you think about fixing it – "fixing it," it's still a pretty darn good business. But is it more of a product fix? A channel fix? A cost fix? I mean how do you – and how is it – how difficult is it? I mean just give us a sense. Because I feel like I've heard this fix Dental speech a few times before in the Danaher history.
Thomas Patrick Joyce - Danaher Corp.: Sure, Scott. Thanks for the question. My history with the Dental platform is about I guess 2.5 years old. And as far as favor goes, I've long been in favor, at least in the last 2.5 years, of the Dental platform, largely because I think it has tremendous opportunities. I think it has such fundamental growth drivers on a global basis. And I think our performance over a number of years has not been up to our capabilities. In other words I think we have a tremendous opportunity to improve both the growth trajectory and the margin performance of the platform. So I'm very much – I'm very favorably disposed towards the platform, both from the standpoint of the fundamentals of the market on a global basis as well as the opportunity that it represents. Relative to what we have been doing and will continue to do and the challenges associated with it. I think it started with that approach that I mentioned both in December as well as on this call, about thinking about it as a new acquisition, essentially taking a new approach. You might say a somewhat more radical approach. In other words when we approach a newly acquired business, we tend to not approach it through small, incremental improvements. You look at what we've done at Beckman, you look at what we've most recently done at Pall, and you see much more significant amount of activity around DBS. A much more significant infusion of talent and as a result of that, more significant levels of improvement. You asked about product, channel, cost, et cetera. I would really go back to this comment I made about running the Danaher playbook. It does involve cost. It does involve rationalizing a number of dimensions of the platform that has an impact on the cost structure. It involves rationalizing the manufacturing footprint, the instrumentation and equipment platforms, the brands, even the operating structure from a people perspective. But the playbook then has that cost not all dropping to the bottom line. You've seen good operating performance this year. But it really involves reinvesting some of that back into the business to drive growth. And I think what the team has done so successfully in the last year is both drive that operating margin performance up and reinvest with, as you heard me comment, 5% to 10% increases in R&D and sales and marketing to get the growth engine moving. And so I think it's going to take some time. But I think we're on the right track. Again I think the fundamentals are solid and the room for operating improvements are significant.
Scott R. Davis - Barclays Capital, Inc.: Good answer. Just a real quick follow-up.
Thomas Patrick Joyce - Danaher Corp.: Sure.
Scott R. Davis - Barclays Capital, Inc.: How do you do M&A when you don't really know the tax rate of what you're buying? Is that something right now you kind of put back on hold till you have more clarity on tax? Or is it not as important as maybe we think?
Thomas Patrick Joyce - Danaher Corp.: Well, Scott, given all the various proposals out there, it is a little bit of an unknown. But the two or three sort of leading candidates of a new potential structure based upon the analysis we've done would all suggest it would be neutral to positive to us. So I don't think there's a structure out there at least that's high on the list right now that would be a negative for us. And that would worry me a little bit from an M&A perspective, but I don't think that's the case.
Scott R. Davis - Barclays Capital, Inc.: Got you. Okay. Thank you, guys. Good luck.
Thomas Patrick Joyce - Danaher Corp.: Hey. Thanks, guys. Just while – before we go to the next question, Roxanna, I just want to make one other point on the back of Scott's question about the Dental platform. I think if you step back for a second. I know we get a lot of questions about the Dental platform. I think it's important to recognize that the Dental platform does represent about 15% of the corporation. And there are a number of businesses inside of that platform, like our Implant business and our Orthodontics platform that continue to perform quite well. And you've got the other 85% of the platform that from a core growth perspective is well on its way and I think is performing quite well. So I think it's also important to put the Dental platform in context, relative to the scale of it within the corporation.
Scott R. Davis - Barclays Capital, Inc.: Fair point. Thank you, guys.
Thomas Patrick Joyce - Danaher Corp.: Thanks, Scott.
Operator: And we'll take our next question from Tycho Peterson with JPMorgan. Please go ahead.
Tycho W. Peterson - JPMorgan Securities LLC: Hey. Thanks. Tom, I'm wondering if you can elaborate a little bit on some of the areas where you saw an improvement on the industrial side. You talked about Pall picking up low single digit core revenue growth. Can you maybe just talk about what the order book looks like and expectations for 2017? And similarly with Hach, you talked about mid-single digit bookings. So what's the outlook there?
Thomas Patrick Joyce - Danaher Corp.: Sure. Thanks, Tycho. Good morning. We were encouraged somewhat by what we saw, I would say in the latter part of the fourth quarter and certainly in December on the industrial side. Pall Industrial clearly being one of those, our first quarter of positive core growth certainly since – in some time and since we've owned the business. So we're particularly encouraged by that. Water Quality, while that's been somewhat challenged from an industrial perspective during the course of the year, we saw some improvement there in the fourth quarter. Our PID business, which it's admittedly not as industrially oriented as perhaps Pall Industrial is, clearly seeing some excellent performance there. And then finally I think our Life Science business, which has some industrial exposure, particularly at Leica Microsystems, to name one example, also showing some improvement. So I think we're not really ready to call an inflection point, Tycho, but I think there are some signs in the order book that I think are encouraging. Relative to expectations in the first quarter, again not calling an inflection point, but I think we would expect some similar performance in the first quarter to what we saw in the fourth quarter, not a dramatic change. The 3% core growth overall that we have dialed in in the first quarter implies a level of consistency there. A little bit of an impact of days that dampen the numbers slightly. But in general I think we would expect some stabilization in the industrial markets that we saw late in the fourth quarter to continue into the first.
Tycho W. Peterson - JPMorgan Securities LLC: Okay. And then for a follow-up just a clarification on Dental. You mentioned in your comments you thought Dental softness would persist in early 2017. What gives you confidence that things improve in the back half of the year? And is there a distributor work down dynamic? We've heard about that from a number of your peers as well.
Thomas Patrick Joyce - Danaher Corp.: Relative to the last part of the question. I think the commentary around sell-out from distribution, and you heard that commentary earlier in the middle part of the year, the third quarter in the year. We saw the impact of that in terms of our sell-in, certainly in the fourth quarter in the more traditional consumables and equipment. I think that's giving the channel some – setting a tone of caution if you will. And so when you have caution that comes from some moderating sell-out, it's going to have some impact there. They're going to do some, what I think is probably some right-sizing of inventory in the channel with an abundance of caution before they start to see sell-out improve. So I think – when we think about the fundamentals of the market, it's hard to see, Tycho, or pinpoint any particular reasons why we wouldn't see the traditional consumables and equipment start to pick up a bit as the year progresses. I couldn't tell you much more than that, other than the fact that we've not seen these types of air pockets if you will persist over a long period of time.
Tycho W. Peterson - JPMorgan Securities LLC: Okay. Thank you.
Thomas Patrick Joyce - Danaher Corp.: Thanks, Tycho.
Operator: And we'll take our next question from Steven Winoker with Bernstein. Please go ahead.
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: Thanks. Good morning, guys.
Thomas Patrick Joyce - Danaher Corp.: Hey, Steve.
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: Hey, could you maybe talk about within Pall, you continue to ratch up very good numbers. So how is it looking relative to that original $300 million synergy guide? Where are you on your thinking on that?
Thomas Patrick Joyce - Danaher Corp.: We feel very good about that, Steve. We got off to a fast start and an early start. We got that rate north of the $60 million that we talked about for the first year to more like $100 million. And I think that's really a function of the impact of the team in place, both the legacy Pall team as well as the Danaher team that went in to help out. It's a function of the impact of DBS and the over 300 kaizens that we got after. And so I think we feel great about our opportunities to get to that $300 million target. I think as we look forward and you've heard us say from the very beginning that some of the more challenging tens of millions of dollars in that run rate are going to come in the latter periods as we work on some of the more challenging dimensions of the supply chain, the manufacturing footprint. And so I think as we think about the timeframe, I think the overall timeframe of achieving that kind of rate in the four- to five-year period is still the numbers that we'd hang onto, only given the fact that it's just a little bit more challenging each year to affect those changes in the supply chain and the manufacturing footprint.
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: If $100 million was achieved in 2016, what's embedded in your forecast for 2017?
Daniel L. Comas - Danaher Corp.: Our sort of – and we originally planned roughly $60 million a year over that five-year period. We would expect to be in that $60 million plus range this year. So by the end of 2017, we will still be ahead of – we would expect to still be ahead of our original schedule.
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: Okay. And then on the SG&A, how much of that 110 basis points was G&A versus sales increase? Year on year?
Daniel L. Comas - Danaher Corp.: The G&A was down. Sales and marketing was up overall as a percentage.
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: All right. All right. I'll leave it there. Thanks, guys.
Daniel L. Comas - Danaher Corp.: Oh and then – you mean in the fourth quarter?
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: Yeah, yeah, yeah.
Daniel L. Comas - Danaher Corp.: Yeah. A fair amount of that is noise in Cepheid. But organically, G&A – excluding Cepheid, organically G&A was down and sales and marketing was up as a percent of revenues.
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: Okay. Great. Thanks.
Thomas Patrick Joyce - Danaher Corp.: Thanks, Steve.
Operator: And we'll take our next question from Doug Schenkel with Cowen and Co. Please go ahead.
Chris Lin - Cowen & Co. LLC: Hi. This is actually Chris Lin on for Doug today. Thanks for taking my questions.
Thomas Patrick Joyce - Danaher Corp.: Hey, Chris. No problem.
Chris Lin - Cowen & Co. LLC: Just a first – just a question on Cepheid first. It appears that on a full calendar Q4 basis it grew 15% to 20% year over year in Q4? Is this right? And then can you just provide some commentary on the key drivers to the strong performance in the quarter by test category?
Thomas Patrick Joyce - Danaher Corp.: Sure. We did grow in that range during the course of the fourth quarter. So you do have that right. And when we think about the growth of the business, the growth has been very consistent. We continue to see the hospital acquired infection business, which is a large part of the business, continue to perform well and pretty consistently. We continue to see good growth in infectious disease, in sexual health, and in virology. So when you think about the individual product segments of the business, we've seen a good deal of consistency in terms of those growth rates across the four I just mentioned.
Chris Lin - Cowen & Co. LLC: Thanks. On then just on a higher level, could you just provide some updated thoughts on how the Cepheid integration is progressing? And how you are initially leveraging DBS at Cepheid?
Thomas Patrick Joyce - Danaher Corp.: Sure. So it's early days obviously. We just closed the transaction in November. We have an outstanding team of people leading the Cepheid business, largely the Cepheid associates, but with the addition of some key Danaher associates as well, which has been consistent with how we've approached organizations newly acquired in the past. The team has quickly embraced a number of the tools of the Danaher Business System. Dan and I were out at Cepheid just a couple of weeks ago, out in Sunnyvale. We had an operating review out there. And we toured the manufacturing facility and met with one of the R&D teams as well. I was incredibly impressed by what I saw on the shop floor, the before and the after impacts of the use of kaizen on the shop floor. Five-day kaizens that involved Danaher teams combined with Cepheid teams that were making improvements on the shop floor. The tools of DBS that impact new product development were clearly on display when I met with the Omni (35:22) team and saw the impact of what they were working on and the kaizen there. So I think the team is off to a very good start. I think they're off to a fast start, given that we're just about two months post the close of the acquisition. So we're very pleased with how things have gotten started, Chris.
Chris Lin - Cowen & Co. LLC: Great. Thanks so much for taking my questions.
Thomas Patrick Joyce - Danaher Corp.: You bet. Thank you.
Operator: And we'll take our next question from Ross Muken with Evercore ISI. Please go ahead.
Ross Muken - Evercore ISI: Good morning, guys.
Thomas Patrick Joyce - Danaher Corp.: Hey, Ross.
Ross Muken - Evercore ISI: Just focusing in on sort of the Pharma market. Obviously you provided us a bunch of color, but it seemed like results there reasonably strong relative to the trend we've seen. And obviously bioprocess continues to be a standout. As you sort of enter 2017 with all of the sort of noise around drug pricing and maybe some of the headline issues that have happened on the pipeline side, do you see any disruption to that market whatsoever? And I guess can you tease out whether it differs in terms of CapEx versus some of the more consumable items? If there's any differential in growth rates?
Thomas Patrick Joyce - Danaher Corp.: Sure. Thanks, Ross. So, Ross, let's maybe just – to answer your question let's take a step back for a second and try to put a context around our position in Pharma. So our pharma exposure is say between $1.5 billion and $2 billion in overall revenue. The largest segment of our exposure, the segment where we're most largely exposed, is Biopharma. And we're seeing high single digit growth in those areas where we're exposed to Biopharma. The largest segment of that is in the production side of Biopharma. So call that $1 billion of that revenue. And that's largely at Pall in Biopharma production, which we expect will continue to be a terrific growth market. That's really driven, as you probably know well, by the growth in Biopharmaceutical, drug production itself. And the pipeline today is a rich pipeline. It's never been bigger than it is it today in terms of the number of drugs that are – the large molecule drugs that are currently in development. And we also see single use technologies in biosimilars being key drivers of growth over time. So we feel very good about that. In terms of drug discovery, so outside of production, call that about $0.5 billion worth of exposure. And that's where SCIEX and Beck LS [Beckman Life Sciences] and Molecular Devices participate. We continue to do well in those businesses; no real slow down. We think we've got some terrific products that are highly differentiated. And so when it comes to large molecule drug discovery, we continue to see again, based on the pipelines and the continued investment in those drugs versus small molecules, that those to be great opportunities. And then finally, we have some positions in small molecule pharma. That would be at SCIEX and in a couple of other places. And there's still some excellent revenue growth there, but probably not as significant as we see on the Biopharma side. So we feel very good about those markets, largely as a function of where Pharma is investing today and is likely to invest consistently in the future. Just going back though for a second to the largest portion of that, that $1 billion dollars or so in Biopharma production at Pall. I think the key thing to recognize is that filtration plays an incredibly valuable role in that bio production process. And yet on a relative basis is a fairly low cost component of that overall production process. So we love businesses where we deliver high quality, high value consumables that are relatively low cost relative to the overall production process or the workflow. And so that creates an incredibly strategically important position for us and one that we think is quite sustainable over time.
Ross Muken - Evercore ISI: That's super helpful, Tom. And maybe just quickly, Dan, sequentially interest expense ticked down quite a bit, probably more than certainly I and maybe others modeled. Just is this the new base? Or was there something with sort of the mix or favorability in some of the rates you got on financing Cepheid, et cetera? What's the explanation? And then the cadence off of that?
Daniel L. Comas - Danaher Corp.: Part of it is very attractive rates, particularly in Europe where our commercial paper program is essentially 0% right now. In some cases we're actually getting paid for borrowing money in Europe. I think we're thinking about roughly $40 million a quarter going into next year as a run rate.
Ross Muken - Evercore ISI: Great. Thank you.
Thomas Patrick Joyce - Danaher Corp.: Thanks, Ross.
Operator: And we'll take our next question from Shannon O'Callaghan with UBS. Please go ahead.
Shannon O'Callaghan - UBS Securities LLC: Morning, guys.
Thomas Patrick Joyce - Danaher Corp.: Hey, Shannon.
Shannon O'Callaghan - UBS Securities LLC: I guess I got to go borrow some money in Europe apparently.
Thomas Patrick Joyce - Danaher Corp.: If we're having a tough quarter, we're just going to borrow more.
Shannon O'Callaghan - UBS Securities LLC: Hey, Tom. On Videojet I mean you talked about the long track record of core growth there. I mean what is it that Videojet has gotten right so consistently over so many years that other businesses that you have that are in arguably maybe even higher growth end markets haven't been able to consistently translate? What's the gap that you're trying to close there with the other businesses?
Thomas Patrick Joyce - Danaher Corp.: Yeah. Shannon, that business and the team that has led that business for a long period of time now has really created what we sometimes refer to at Danaher as a flywheel, a combination of initiatives that continue to build momentum over time and do so on a very consistent and continuous basis. You heard me mention the great core growth and the long track record. It's really those initiatives are a combination of things. It starts with day to day execution using the tools of DBS without question. The Videojet was really the birth place of a number of key tools that we now use throughout Danaher around day to day commercial execution. We call those tools transformative marketing, under a broad heading of transformative marketing. And it really involves outstanding market visibility, tailored messaging, and outstanding communication to targeted end customers and tremendous field sales follow-up, backed up by an exceptional service organization, which as you heard me say is growing double digits. That flywheel of commercial execution is now accelerating based on terrific innovation. The team would tell you today they probably have the most exciting line-ups of new products that they've ever had in their history. Some of those products are already in the market today and just getting commercialized. And you see some of the impact in the recent quarters of core growth. And others are coming. The team would say it's the best line-up in probably 15 years. And they continue to invest, frankly, in some areas where there's still opportunities commercially, like in high growth markets. They've done some acquisitions of distributors recently. They've added feet on the street in a number of markets. And they would quickly say that there's still opportunities to improve growth in a couple of those high growth markets where perhaps they haven't put the playbook to work as consistently as they would have liked. So it truly is a combination of things. It's a tribute to the team. It's a tribute to DBS. And it really is something that we're very proud of.
Shannon O'Callaghan - UBS Securities LLC: Okay. Great. Thanks. And then just on the core margin improvement for the year across the company, clearly really strong and above what you would typically target. How much of that do you attribute to a deal like Pall that's getting after some extra margin initially versus more mature pieces of the portfolio that are just beating their plan?
Thomas Patrick Joyce - Danaher Corp.: Shannon, it really was an exceptionally strong year and very broad-based in terms of core margin expansion. But Pall was a meaningful contributor. But Diagnostics up 200 basis points for the year, almost 100 basis points at Dental despite a very sort of tepid end market, particularly in the second half. So really good execution. And I think what was most noteworthy this year was the increase in the gross margin side. That was all organic. For the full year it was driven by new products, as Tom alluded to, in the PID side, as an example. Coming up with new products at higher gross margins, really good execution in the factory, really taking advantage of our purchasing leverage. And that 100 basis points of gross margins obviously both fell through to the operating margin side but also let us really step up some R&D and sales and marketing investments across a number of the businesses. So that's a number we watch very carefully and our execution on that was as good as it's been in 2016.
Shannon O'Callaghan - UBS Securities LLC: Great. Thanks, guys.
Thomas Patrick Joyce - Danaher Corp.: Thanks, Shannon.
Operator: And we'll take our next question from Jeffrey Sprague with Vertical Research Partners. Please go ahead.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Thank you. Good morning, everyone.
Thomas Patrick Joyce - Danaher Corp.: Hey, Jeff.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Hey. Good morning. Hey, just one more quick one on Dental if I could. Could you just provide us a little more color on how to think about Dental margins? How they play out in 2017, as we kind of work through these cross-currents of restructuring actions and associated payback you hope to get from them? And anything to be kind of aware of, first half versus second half, et cetera, as that plays out?
Thomas Patrick Joyce - Danaher Corp.: Jeff, for the full year I would expect a kind of similar dynamic that we saw in 2016, which was kind of low single digit or very low single digit organic growth, but still churning out 75 basis points of core margin expansion. It's perhaps a little bit less than that in the first half, because we are sort of continually taking some cost action. You might see a little bit more of that in the first half. But again I think we can kind of cover elsewhere. But I think for the full year, we'd like to see a little bit of pick up on the top line. But even if we don't I think we could replicate what we did in 2016.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Great. And then I just wonder if you could give us a little more color on China. It sounds like things were better in a few of your businesses. Do you think there's some legitimate kind of economic traction starting to happen there? Or are there comp issues? Just your bigger picture on China right now.
Thomas Patrick Joyce - Danaher Corp.: Jeff, we continue to perform very well in China. I think a couple of businesses that I'd highlight would be the – our Dental business that continues to deliver terrific double digit core growth in China. And that's a broad-based growth rate across all the product lines of Dental. We've got a terrific team over there. We continue to invest in feet on the street. And the overall fundamentals of the Dental market in China continue to suggest that's going to be a terrific growth driver for us. Our Diagnostic business has also continued to perform very well there. We're seeing good growth in that business. We have at Beckman Diagnostics for a long period of time. Our Radiometer business continuing to perform well. And Leica Biosystems is now developing products in China for China. So a more localized approach to ensuring that we're hitting the right kind of price points in that market. I think on the flip side, looking at where there's been some challenges, I think where we've had a little bit more industrial exposure in China, there have been some challenges. I think Water Quality, to name one, is an area where we've seen some challenges, given the slowdown in the industrial market. So we're expecting to see a little bit of a pickup there as we come into 2017 across the industrial markets. But that's really been where the softness has been is the more industrial exposure we had, the lower the growth rates in China.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Great. Thanks. I'll leave it there.
Thomas Patrick Joyce - Danaher Corp.: Thanks, Jeff.
Operator: And we'll take our next question from Derik de Bruin with Bank of America Merrill Lynch. Please go ahead.
Derik de Bruin - Bank of America Merrill Lynch: Hi. Good morning.
Daniel L. Comas - Danaher Corp.: Derik.
Thomas Patrick Joyce - Danaher Corp.: Hi, Derik.
Derik de Bruin - Bank of America Merrill Lynch: A couple of quick housekeeping questions, then a follow-up. So the housekeeping – and if I missed it I apologize. The FX guidance, what's embedded for FX into Q1 and for your full year guidance? And also the free cash flow guide for fiscal 2017?
Daniel L. Comas - Danaher Corp.: Sure. For the full year what we highlighted in December when the euro was $1.06 – and I think it's $1.07 – is about $0.08 negative year-on-year impact, a little bit less in Q4 and pretty much evenly – the other $0.07 roughly evenly distributed among the first three quarters. And then free cash flow, we don't give out specific guidance. We again ended very strong, full-year conversion. It was a little bit lighter in Q4. That was primarily driven by the timing of some tax payments, including some kind of one-time payments related to separation that we had highlighted when we announced the separation of Fortive that we ended up paying in the fourth quarter. We would expect a very – again very strong free cash flow conversion in 2017. Maybe even a little bit better, because of some of the one-time items we had in 2016.
Derik de Bruin - Bank of America Merrill Lynch: Great. And more of a – more just a theoretical question. We've been getting this from investors, but I think there's some concern about if the trade issues sort of escalate and we go into some sort of a trade war with China. I guess the question becomes – is like are Diagnostic products and some of things that are so critical into those markets less subject to some of the bans and like that? And do you have any historical precedence in terms of how we could think about potential trade conflicts in some of your products?
Thomas Patrick Joyce - Danaher Corp.: Derik, I don't know that any of us here could speak to – sorry – a historical precedent relative to what we might be facing.
Derik de Bruin - Bank of America Merrill Lynch: All right. All right. Fair enough. Fair enough.
Thomas Patrick Joyce - Danaher Corp.: But I think there is an important point. Let me – all kidding aside, our positions in China and let's – I think you were asking maybe a bit about the Diagnostic business.
Derik de Bruin - Bank of America Merrill Lynch: Yes.
Thomas Patrick Joyce - Danaher Corp.: Our business in China, we have manufacturing in China for China. I just mentioned LBS (50:31) just a minute ago, now designing products, manufacturing products for the Chinese market. We do $2 billion roughly in revenue in China. And so that's really the core of our China business. When we went to China years ago, we went less for the purposes of low-cost manufacturing, more for purposes of being a local player. And I think that's key to our strategy. So I think in that respect, I'm probably a little bit less worried about the impact on us specifically relative to China-related tariffs. Time will tell, obviously.
Derik de Bruin - Bank of America Merrill Lynch: Great. That's very helpful. Thank you.
Thomas Patrick Joyce - Danaher Corp.: Thanks, Derik.
Operator: And we'll take our next question from Steve Beuchaw with Morgan Stanley. Please go ahead.
Steve C. Beuchaw - Morgan Stanley & Co. LLC: Hi. Good morning and thanks for taking the questions here.
Thomas Patrick Joyce - Danaher Corp.: Sure, Steve.
Steve C. Beuchaw - Morgan Stanley & Co. LLC: One very broad question and then one more specific question. The very broad question, maybe taking the concept that Derik introduced with the question around China trade, let's think about it more broadly. We're in a period here where not just Danaher, but Danaher's customer base is thinking about an array of different potential policy changes in Washington. Are there areas where you're hearing from your customer base? Any incremental animal spirits or conservatism that we should think about as we consider trends in the business into 2017?
Thomas Patrick Joyce - Danaher Corp.: Steve, I think one of the terrific advantages that we have at Danaher in this portfolio is being a multi-industry science and technology portfolio. And what that means is that we don't have any particularly significant exposure to one end market or one customer set in one geography versus – relative to the whole. Specific to your question, I would say no. We have not sensed – I think what you asked about is animal spirits or animal instincts in any way. But I think you ought to use the term conservatism. And I think certainly there probably are some pockets of end markets today where there's probably some conservatism. I think there were a couple pockets of our Diagnostic businesses where we sensed that there could have been a little bit of conservatism in the fourth quarter perhaps, as people were a little bit uncertain about what the future would be of ACA. That's again something that's rather nuanced and somewhat speculative on the end markets' part. But I think there's so much uncertainty in the world today that there must be pockets of conservatism in some places. But we are not hearing anything consistent or at a particularly – at a high-volume level from customers that would diminish our view of the end markets.
Steve C. Beuchaw - Morgan Stanley & Co. LLC: Got it. And then so if I take a step back and look at Diagnostics, which was my follow-up question. If I look at results in the quarter, considering the comp, I look at the Abbott results, I look at the Thermo [Fisher] results, and a couple of the smaller players, it does look like things across the Diagnostics channel in the fourth quarter might have been a little bit lighter. Safe to say your view right now is that that's a function of just a little bit of a pause? And what are we looking for to call any recovery there? Thanks so much.
Thomas Patrick Joyce - Danaher Corp.: Sure. You bet, Steve. Again, Steve, there could have been some conservatism due to uncertainty in the market. But we were very pleased with actually our performance in Diagnostics in the quarter, and particularly at Beckman Diagnostics, where we saw some improved performance. We're seeing continued progress in customer retention and new customer win rates. We see continued outstanding performance from Radiometer on a broad basis with high single digit growth rates. And probably the only weak spot that we saw was at Leica Biosystems. However in the case of Leica Biosystems, they had an incredibly strong third quarter. And so a bit of a difficult back-to-back quarter situation and a bit of a challenging comp perhaps. So we feel pretty good about where we sit in Diagnostics and continued good performance. So some conservatism out there? Maybe. Some uncertainty? Without a doubt. But we'll continue to play offense. And we feel pretty good about where we are.
Steve C. Beuchaw - Morgan Stanley & Co. LLC: Thanks, Tom.
Thomas Patrick Joyce - Danaher Corp.: Thanks, Steve.
Operator: And we'll take our next question from Deane Dray with RBC Capital Markets. Please go ahead.
Deane Dray - RBC Capital Markets LLC: Thank you. Good morning, everyone.
Thomas Patrick Joyce - Danaher Corp.: Morning, Deane.
Deane Dray - RBC Capital Markets LLC: Hey, we've covered a lot of ground here. I did want to address, there's a lot of intrigue in the industrials regarding the pending sale of GE Water. And I know you can't be specific, but might there be any particular business that would be coming out of GE Water that might fit with Danaher's Water Quality platform? And then just a related question is one of the issues that GE struggled with is trying to manage both a Membrane business and a Chemical business. In many ways those are diametrically opposed. But you all have done this successfully. So what has been part of your secret sauce in being able to have both those technologies within one platform?
Thomas Patrick Joyce - Danaher Corp.: Thanks, Deane. And you're right, we don't comment on any specific transactions. And yeah, it's certainly public knowledge about what's going on at GE Water. And it's certainly fair to say that we look at and consider everything that might be available. Deane, you've come to know and hopefully love our Water Quality position over a number of years. And so I think you know well, we really have a bias towards high margin, lower ticket instrumentation and consumables. Sort of goes along with what I was talking about earlier when I was talking about the Pall Filtration business, high value products that contribute meaningfully to workflows, particularly regulated workflows, and that's terrific recurring revenue streams. And that means that we're not as favorably disposed towards large infrastructure or lower gross margin businesses that might also bring along lower growth rates. So I think to your question about our success to this point in having different types of businesses in the same platform, I think the key to that, Deane, has been keeping those businesses that are quite different from one another separate and distinct in their organization structures. ChemTreat today exists in the same organization structure as an independent, truly autonomous operating company, as much so as the day we bought it. Our Pall Water business that came along with the overall Pall acquisition by the way has now been moved into Hach, but is set up as a separating – separated business unit from the rest of the business. And so that focus on the end markets with a unique operating structure that's distinct from others in the platform is really key to maintaining the consistency and performance of those businesses. So we like where we are.
Deane Dray - RBC Capital Markets LLC: That's real helpful. Thank you.
Thomas Patrick Joyce - Danaher Corp.: Thanks, Deane.
Operator: That does conclude today's conference. You may disconnect at any time and have a wonderful day.